Operator:
Lowell Singer:
Robert Iger:
James Rasulo:
Lowell Singer:
Operator:
Benjamin Swinburne – Morgan Stanley:
James Rasulo:
Robert Iger:
Operator:
Michael Nathanson - Nomura Securities:
James Rasulo:
Michael Nathanson - Nomura Securities:
James Rasulo:
Operator:
Alexia Quadrani - JPMorgan:
Robert Iger:
Alexia Quadrani – JPMorgan:
James Rasulo:
Robert Iger:
Alexia Quadrani – JPMorgan:
Robert Iger:
Operator:
Jessica Reif-Cohen – Bank of America Merrill Lynch:
Robert Iger:
James Rasulo:
Jessica Reif-Cohen – Bank of America Merrill Lynch:
James Rasulo:
Jessica Reif-Cohen – Bank of America Merrill Lynch:
James Rasulo:
Operator:
Douglas Mitchelson – Deutsche Bank:
Robert Iger:
James Rasulo:
Operator:
Todd Juenger - Sanford C. Bernstein:
Robert Iger:
Todd Juenger – Sanford Bernstein:
James Rasulo:
Operator:
Anthony DiClemente – Barclays:
Robert Iger:
Operator:
Tuna Amobi – S&P Capital IQ:
Robert Iger:
Tuna Amobi – S&P Capital IQ:
James Rasulo:
Operator:
David Miller - B. Riley Caris:
Robert Iger:
Operator:
Jason Bazinet – Citigroup:
James Rasulo:
Jason Bazinet – Citigroup:
Operator:
David Bank – RBC Capital Markets:
Robert Iger:
Operator:
Marci Ryvicker - Wells Fargo:
Robert Iger:
James Rasulo:
Lowell Singer: